Operator: Good day, and welcome to the Green Dot Corporation Third Quarter 2025 Conference Call. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. To ask questions, you may press star then 1 on your touch-tone phone. And to withdraw your question, please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Timothy Wayne Willi of Investor Relations. Please go ahead.
Timothy Wayne Willi: Thank you, and good afternoon, everyone. Today, we are discussing Green Dot's third quarter 2025 financial and operating results. Following our remarks, we will open the call for your questions. Our most recent earnings release that accompanies this call and webcast can be found at ir.green.com. As a reminder, our comments may include forward-looking statements and expectations regarding future results and performance. Please refer to the cautionary language in the earnings release and Green Dot's filings with the Securities and Exchange Commission, including our most recent Form 10-Ks and 10-Q, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will refer to our financial measures that do not conform with generally accepted accounting principles. For the sake of clarity, unless otherwise noted, all numbers we talk about today will be on a non-GAAP basis. Information may be calculated differently than similar non-GAAP data presented by other companies. Quantitative reconciliation of our non-GAAP financial information to the directly comparable GAAP financial information appears in today's press release. The content of this call is the property of the Green Dot Corporation and is subject to copyright protection.
Operator: Now I'll turn it over to Bill. Bill?
William I. Jacobs: Good afternoon, and thank you for joining our third quarter 2025 earnings call. Today, I will start with some comments on the quarter and then turn it over to Chris Ruppel for an update on our business development and go-to-market efforts. Jess Unruh will then discuss her financials in more detail, and I will conclude with some final comments and observations before taking your questions. First, regarding the strategic review, we continue to make progress, and we will provide updates when appropriate. Now let's turn to the quarter. It was a strong third quarter with results continuing to outpace our expectations. Adjusted revenue was up 21%, and while adjusted EBITDA declined 17%, the decline was expected, and our EBITDA in the quarter was substantially better than our internal projections. Jess will provide more detail on our financial results shortly. The team remains focused on strengthening our revenue engine by signing and launching new partners in the quarter, driving scale and savings in our operations, and investing in our infrastructure to support customers and partners while ensuring that we position the company for sustainable, long-term growth. As part of these efforts, we moved to cease operations in Shanghai in support of our business needs and growth strategy, including our goals to optimize our platforms and processes and reduce operational and geopolitical risks. We are pleased with the progress we've made on these initiatives thus far. With the transition, our teams have delivered on behalf of our partners and customers. We are seeing continued momentum and increasing demand in embedded finance, the broad range of banking as a service and money processing tools and features offered from our end-to-end embedded finance platform, ARC. During the quarter, we announced the launch of crypto.com's cash earned products feature, launched real-time payments with Dayforce, and announced a new partnership with Stripe as well as new signings with Workday for EWA and AM Scott in the FSC channel. We are preparing for product launches with Dolphintech, Credit Sesame, and other partners across the franchise. And we continued building a strong, healthy pipeline to fuel future growth. On our last call, I discussed our focus on the importance of improving the profitability of our balance sheet. We are making progress in those efforts with a growing list of customers, particularly on our ARC platform. We view balance sheet growth, not just transactions and account growth, as another growth driver in the company. The balance sheet is an important component of our growth and earning story, and we intend to continue to invest in our ability to manage that growth and improve its profitability. Now let me turn it over to Chris Ruppel to provide an update on our development and our go-to-market efforts. Chris?
Chris Ruppel: Thank you, Bill, and good afternoon, everyone. As Bill mentioned, we're continuing to build on the momentum we saw in the first half of the year. The third quarter was busy with new business wins, partner launches, and collaborating with our BaaS, retail, and GDN partners on new initiatives to deliver growth both for us and our partners. Let me touch on several of the more noteworthy developments since our last earnings call. In October, we announced the launch of crypto.com's cash earn feature, a high-yield savings feature added to crypto.com's seamless embedded banking experience. And the initial results are encouraging. We are continuing to explore additional products and features we can bring to crypto.com's platform in the future. Our financial service center channel is also presenting exciting possibilities and growth opportunities. As Bill mentioned, we are very pleased to announce we have signed a new agreement with AmScot, a financial service center leader and a valued money processing partner on our Green Dot network. And as part of the new agreement, we'll expand our relationship to include a demand deposit account offered at Amscot's 235 locations. Additionally, we are excited about the expected launch of Dole Fintech's banking product in retail locations across the country in December. With approximately 5,500 agent locations, Dole Fintech will build on our momentum in the FSC market. This launch, coupled with our relationship with PLS and another recently signed FSC partner including Amscot, is expected to drive new account growth in a relatively new market for Green Dot. That is expected to help offset the declines that we've seen in our retail channel in recent years. We continue to see the FSC channel as an attractive opportunity. These partners are more engaged with their customers, and we believe will view our products as top-of-wallet offerings with higher engagement than our traditional retail business. We are also working diligently to prepare the launch of Credit Sesame, which we announced as a new customer on our last earnings call, and are targeting a launch early next year. Credit Sesame is a leading tech-driven personal finance platform that has served 18 million consumers since its founding in 2010. Both Green Dot and Credit Sesame are aligned in our respective missions to improve the financial lives of moderate and low-income customers. And this partnership to power the Credit Sesame account is a key business win and partnership for Green Dot. As Bill mentioned, you may have also seen our announcement about our new partnership with Workday, offering our EWA platform in their marketplace. EWA is a product offering that we believe has broad applicability to the US economy, particularly middle and lower-income workers. Our go-to-market strategy includes aligning with partners as a key part of that effort, and I'm thrilled to have a leading platform like Workday choose to partner with us. In our money processing division, we recently announced a new partnership with Stripe. For those that are not familiar with Stripe, they are a global industry-leading payment and financial infrastructure platform viewed as a pioneer in the next generation of financial services and payments. We will partner with Stripe to enable the SMB customers on their platform to leverage our Green Dot network and make cash deposits at more than 50,000 locations with additional enhancements and capabilities possible in the future. In my opinion, this partnership is noteworthy from two perspectives. First, being chosen by a leading global embedded finance pioneer speaks to the strength of Green Dot, our capabilities, and the unique position of the Green Dot network. Second, combined with our partnership with Clip Money, I believe it validates the opportunity in the SMB market. It is a new area of focus for us and a market that is sizable. Last, in our tax business, we expect to finalize a partnership with a leading franchise platform that has chosen us for technology stability and a growing array of products and services. This is the first sizable partner in the franchise area of tax services in many years, and we expect to launch on our platform for the 2026 tax season. In the earnings call last quarter, I talked about our increased focus on working with existing partners to deliver value, expand our relationships to drive growth for our partners and Green Dot. We continue to see success in these efforts. I specifically referenced an embedded finance partner where we have seen revenue and contribution that is approximately 55% higher than what we had expected when we signed that customer. Building on that success, we will be launching a new payment product with them that should further drive growth above our initial expectations. In our Rapid Employer Services Division, we have renewed one of our largest channel partners, bringing more of the customer experience and operational support under Green Dot's control and improving our economics. Lastly, in our BaaS division, we renewed another large partner with improved economics and a path to a deeper, more robust partnership. I think these all demonstrate the value we're able to bring to customers after the initial signing and launch. Lastly, I'd like to touch on a bit on the outlook for the embedded finance market. I recently joined the team at Money 2021, one of the largest fintech and payments conferences in the US, and I can tell you that based on the volume of meetings, interest in our platform, and variety of companies and executives we met with, the embedded finance market is not only robust but accelerating. This belief is supported by a recent study we conducted with payments.com, which we released two weeks ago and is featured on our website. Based on over 500 respondents, the survey clearly points to companies prioritizing embedded finance as a revenue growth and value driver. Approximately 94% of respondents reported that they plan to increase spending on embedded finance, with 76% saying they'll increase investments in the next twelve months. The overarching catalyst for their spending plans is to improve financial outcomes by deepening relationships with their customers and employees and differentiating their brands. So in summary, we continue to work on signing new partners, launching new partners, and growing in a market where companies are increasingly prioritizing embedded finance as a way to differentiate and drive deeper relationships with their customers and employees. With that, let me turn it over to Jess Unruh to discuss our third quarter results. Jess?
Jess Unruh: Thank you, Chris, and good afternoon, everyone. In the third quarter, our non-GAAP revenue grew 21% year over year while adjusted EBITDA declined 17%. Our top-line growth was primarily driven by the performance of our B2B segment and interest income. This was partially offset by ongoing trends in our consumer segment. Although adjusted EBITDA declined, the reduction was substantially less than anticipated, largely due to high-margin revenue growth, continued expense management efforts, and certain favorable timing factors. Now let me touch on the factors that influence the performance of our segment. Refer to our press release and quarterly slide deck for segment results and key metrics. First up is our B2B segment, which is comprised of our BaaS channel, powered by our ARC platform, and our Rapid Employer Services Division. Revenue growth of just over 30% continues to be driven by a significant BaaS partner along with growth in the rest of the BaaS portfolio. Key operating metrics within the BaaS channel, such as active accounts and purchase volume, continue to show solid increases as we collaborate to drive growth with existing partners and launch new ones. We're doing a great job helping our partners grow their programs and find new ways to offer more products and services to their customers. At the same time, we're focused on the partnerships we've just rolled out and busy working on new integrations. Thanks to what we've achieved so far and the strong pipeline of upcoming launches and opportunities, I feel really good about the BaaS channel keeping up its positive momentum. Our Rapid Employer Services channel continues to show the challenges faced by our partners in the staffing industry. Similar to previous quarters, revenue declined because there were fewer active accounts and less transaction activity. Although the staffing sector has yet to recover, the new leadership team has achieved strong year-to-date sales of new employer partnerships. They have also shifted more sales support towards earned wage access and continue to integrate with new payroll platforms such as Workday, to pursue new market opportunities. Despite being an early-stage part of our offering, we remain optimistic about EWA due to its larger potential market and stronger profit margins. Overall, the B2B segment profit grew year over year, driven by an increase in our BaaS channel, although BaaS margin slightly declined due to revenue composition, particularly from the growth of a significant BaaS partner. Margins in our Rapid Employer Services channel decreased compared to last year primarily because Q3 2024 benefited from one-time cost reductions. Absent the one-time cost reductions last year, this quarter's margin for the Employer Services Group grew year over year from a continued focus on expense management and operational improvements. Similar to last quarter, our corporate segment revenues, consisting primarily of interest income net of partner interest sharing, grew sharply year over year. We benefited from rate cuts in the second half of last year that improved the balance between what we earn on cash and investments and what we share with partners. We've also been focused on optimizing our balance sheet. This year, we've already repositioned a portion of our securities portfolio, and we've been investing more cash in high-grade floating rate securities that bring in better yield. Because we're improving our asset mix and growing deposits in our BaaS business, we expect interest income to play a more prominent role in our results moving forward. I'd also like to highlight that this top-line growth comes with little to no incremental costs. Expenses in the corporate segment were up due to higher bonus accruals, with our improved earnings performance and year-over-year timing of investments in our regulatory infrastructure. Next is our money movement segment, which includes our tax processing business and our Money Processing business. While Q3 is generally a seasonally slow quarter for our tax business, we grew revenue and profit year over year. Our margin in this channel expanded considerably from a better-than-expected loss rate on our taxpayer advance program. We are working on building out numerous new products and services and adding new partnerships that broaden our product set for the 2026 season to help build on the momentum in 2025. We're excited about a new partner in the franchise market that will contribute to growth in the coming years. Revenue in our Money Processing business, driven mainly by cash transfer volumes on the Green Dot network, declined consistent with the decrease in transactions. Driven by softness in both our consumer segment active base and third-party programs. While active accounts in our consumer segment have continued to stabilize because of a ramp in new financial service center partners, these programs, at least for the time being, generate fewer reloads per active account than our branded programs in retail, which continued to experience consistent mid-teens percentage declines. Third-party cash transfers were down 5% year over year largely because of lower volume from two partners whose activity yields lower revenue per transaction. If we exclude those two partners, third-party transactions were up in the low to mid-single digit in the quarter. This shift away from low-revenue transactions led to an increase in our average revenue per transaction compared to last year, helping to partially offset the overall revenue impact from lower transaction volume. With money processing operations more closely integrated with the BaaS business under the ARC brand, we expect to keep a healthy and active pipeline of potential partners. This, together with recent launches of new cash transfer and digital disbursement partnerships, such as Stripe and others, a solid schedule of additional launches anticipated in the coming months, and continued moderation in the rate of decline in our consumer business give us confidence that we are well-positioned to reaccelerate momentum from previous quarters. Profitability in the segment remains strong with margins approximately 300 basis points. Margin improvement in tax offset some modest pressure in the money processing business with the decline in revenue. Now I'll turn to our consumer services segment, which is comprised of our retail and direct channels. While the consumer segment continues to face challenges from ongoing trends in the retail channel and pressures in the direct channel, declines in segment revenue and active accounts have moderated compared to previous years. However, this third quarter did see a slight increase in the rate of decline, though this remains significantly lower than rates observed in prior years. As retail declines have also shown signs of moderation. In the retail channel, active accounts were down only 4% from the prior year, and this notable moderation in declines is largely due to our partnership with PLS and efforts to enhance customer experience, functionality, and retention. Year to date, we continue to see growth in metrics like purchase volume and revenue per customer. Given our ongoing efforts to enhance customer retention, the upcoming launch of Dole Fintech, and another recently signed FSC partner, as well as a renewal of key agreements with Walmart, I'm optimistic that the decline in retail will be more moderate than prior years. The decrease in active accounts continued to stabilize, and I'm confident in our strategy to strengthen customer engagement through new products and features. Additionally, by expanding into new markets such as the FSC channel, we anticipate onboarding new partners and increasing our market share. Our efforts to reposition the direct channel continue. Due to reduced marketing spend over the last year, revenue and actives have remained under pressure more so than in the prior two years. We remain focused on developing a more robust product and enhancing the customer interface to drive improved customer acquisition and retention. We remain committed to investing in the platform and balancing investment in growth with profitability. We are progressing with platform feature enhancements and user experience improvements while new smaller channel partnerships present incremental growth opportunities and support our goal to return this division to positive revenue growth. Overall segment margins were down over 400 basis points from last year due primarily to the declines in revenue mix, and we had some high-margin revenue last year related to a program in runoff that is no longer contributing to our results. Before turning to our expectations for the rest of the year, I want to point out the new restructuring line item on the face of our GAAP P&L. That line item represents the cost associated with the exit of our Shanghai operation and primarily consists of severance expenses. Although a tough decision, exiting our overseas operation was best for productivity and overall expense management long-term. Now let me provide you with updated guidance for 2025. Provided the current volatility in the economy does not significantly impact customers' behavior or our business in general, we are adjusting our guidance as follows. We continue to expect non-GAAP revenue of $2 billion to $2.1 billion, consistent with our prior guidance. We now expect adjusted EBITDA of $165 million to $175 million, up from the previous guidance of $160 million to $170 million. And we now expect GAAP non-GAAP EPS of $1.31 to $1.44 as compared to our prior guidance of $1.28 to $1.42. As implied by our guidance, we expect consolidated revenue growth in Q4 to be in the upper single digits with adjusted EBITDA margin down roughly 700 basis points from last year due to some tough comparisons in the consumer channel and some incremental spending that we planned for the quarter. For the year, I expect our segment results to play out as follows. B2B segment revenue is expected to grow in the low 30% range with 50 to 100 basis points of margin decline, driven largely by revenue mix due to strong growth in our BaaS division. Money movement segment revenue is now expected to see flattish revenue growth with margins up 450 to 500 basis points given the strength of the tax processing business, the favorable mix shift in money processing, and continued vigilance on expense across the segment. Consumer segment revenue is projected to decline in the low double digits. Overall, we expect consumer segment margins to be down 450 to 500 basis points and at a level comparable to 2023. Excluding the benefits of the non-core revenue in 2024 that I just mentioned, I estimate that margins will be down approximately 250 basis points. Last, I would like to briefly touch on our ongoing efforts to drive operational efficiency and productivity. For some time now, we have been intently focused on managing costs, streamlining our organization, and driving efficiency. We recently made the decision to exit our Shanghai operation. While this was not an easy decision, this effort will result in some modest cost savings while also improving our ability to deliver on our investment priorities more efficiently and with greater speed and agility. Looking at all that we have done over the years to reduce cost and drive efficiency, I believe it's important to point out that the momentum that we are seeing in launching products, building pipelines, and signing and launching new partners is occurring even though Green Dot has a smaller employee base than we did three years ago. I believe that this validates our success in creating a more streamlined, productive company. In summary, I remain encouraged by our outlook for growth in the B2B segment where we have a backlog of partners to launch in our BaaS business. The growth of BaaS is expected to drive deposit growth, and we will continue to work to optimize the net yields on our balance sheet. While Rapid Employer Services still faces headwinds, we have a new leader at the top of the organization who is aggressively rightsizing that business and putting more focus on EWA where there is a large opportunity, and I'm confident we can see success with our Workday partnership serving as initial success. In the money movement segment, we still have several new partners to launch this year with a robust pipeline of business opportunities to drive the third-party business. And partnering with an industry leader, Stripe, will help us open up the SMB market, which we believe is an exciting new opportunity. We also expect to announce a large franchise platform in our tax business. Our continued success in signing new partners across our B2B and money processing businesses reinforces my confidence that our investments in these areas are enabling us to capitalize on the vast opportunity within those markets. Though we still anticipate declines in our consumer segment, we are preparing to launch Dole Fintech, which has approximately 5,500 locations. We signed an additional partner and are confident in our ability to win more market share in this channel, which should help moderate the overall declines of that channel. With that, let me turn it back over to Bill for some closing comments.
William I. Jacobs: Thank you, Jess. It was another solid quarter, and we are pleased with the progress we are making as we sign, launch, and expand our partnerships. At the same time, we're working to improve the profitability of our balance sheet and continue executing on our operational imperatives, including realigning our resources to support our core priorities and growth strategy. We launched crypto.com in the quarter, and we are preparing to launch Credit Sesame and other recently signed BaaS partners, as well as two new FSC partners and Stripe as a money processing partner, helping us capture the opportunities in the SMB market. Just as important, those customers that we have worked with for many years continue to place their trust in us to help them deliver on their own aspirations for embedded finance. And we are thrilled that they recognize the value of partnering with us with numerous renewals and product launches. While it is still early to provide guidance for 2026, let me provide you with my perspective as we begin to exit 2025 and think more intently about 2026. Over the last several years, Green Dot has navigated a variety of challenges and headwinds. This put pressure on our bottom line results as we chose to simultaneously invest in the future of Green Dot. Based on our results this year and our updated outlook, I believe we have stabilized and helped to position the company for sustainable growth. As I think about 2026, I believe that we have a solid stepping-off point to work with based on our 2025 performance. There are still many things to take into consideration. We continue to face some headwinds in our consumer business, and we have investments we would like to make that got shelved in prior years. But unlike prior years, I believe we can absorb those and continue to move forward. With a growing list of partners and launches, and our focus to improve the profitability of the balance sheet, we have been dealt a better hand to deal with as we think about the upcoming year. We have worked to reposition the growth drivers of the company around our B2B division and our money movement operations that are benefiting from the tailwinds and the rising tide of our embedded finance marketplace. As a result, I am increasingly confident in our outlook. And I look to build off the stability and progress that have emerged this year and deliver better bottom-line results next year. The last several years, the company has undertaken numerous initiatives and made substantial investments to position Green Dot to return to sustainable, predictable growth. We have seen improved momentum with signings and launches despite the fact that the organization is smaller now than it was three years ago, which I believe validates we have made the right decisions and we're successful in executing on those initiatives. Most important is that the team at Green Dot has risen to the challenge and embraced change as they executed on our internal strategy and remain focused. They should be commended for their efforts, and I truly thank the team for their hard work and continued commitment, which I expect will pay off. It is because of their efforts that I remain confident we're positioned to win in the embedded finance market for years to come. With that, we are happy to take your questions.
Operator: We will now begin the question and answer session. To ask a question, please press star then 1 on your touch-tone phone. If you're using a speakerphone, please pick up your handset before pressing the keys. And to withdraw your question, please press star then 2. Please limit yourself to one question and one follow-up. And if you have further questions, you may reenter the question queue. Our first question for today will come from Cristopher Kennedy with William Blair. Please go ahead.
Cristopher Kennedy: Yes. Good afternoon. Thanks for taking the question. You talked about the strong demand for embedded finance and the rising tide. Can you just talk about what's driving that? Is it an improved regulatory environment? Or what else are you seeing out there in the market?
Chris Ruppel: Chris, thank you for your question. This is Chris Ruppel. I think we've talked in the past about the pipeline that we're building in our business development efforts. And I think when we talk about the rising tide, that's both through surveys. We see companies that are interested in bringing embedded finance solutions into their customer ecosystems through their mobile apps or other environments to help deepen those relationships, monetize those relationships in different ways, and provide greater utility to their customers. And so that's generating demand. We see that increasingly being accepted as a strategic imperative for those companies. And so that, coupled with our business development efforts and our sort of rising appreciation of our value in that marketplace and prominence in that marketplace, is allowing us to grow our business development pipeline and give us confidence in our ability to grow the B2B embedded finance segment on a go-forward basis.
Cristopher Kennedy: Understood. And then just as a follow-up, can you just talk about the timeline to revenue from all the new signings and onboardings that you have this year and kind of how you think that will impact the income statement as we look into 2026? Thank you.
Chris Ruppel: So speaking generally about the timeline, it varies based on the type of solution that we're supporting. Our money movement solutions generally have a lower timeline for implementation. But generally, our current structure is that for closing an account, a new partner this year, often, they're launching in a six to eight-month timeframe. We're bringing that back, so it's been closer to six months. And then there's a revenue ramp with the new customers as they come on board, and that depends on the specifics of their particular solution and whether they have an existing program that we're replacing or if it's a de novo embedded finance solution. And so those things generally tend to cause the revenue ramp to move from sort of anywhere from six months to a year. So, I mean, that's a general timeframe based on implementation and then revenue ramp. So it is an extended ramp as you look out over time, but one that we've walked through with many of the customers and are active in working with those customers to shorten the ramp times within each of those organizations. Jess, I don't know if you have anything else you'd like to add to that.
Jess Unruh: No. I think that was fine. To reduce the time to onboard. I think that's helpful to investors.
Chris Ruppel: Yeah. Thank you, Bill. So we have an internal project called Project 30. I think we may have discussed this in prior earnings calls, and that's an internal project to move our implementation time down. Our goal for this year was to reduce implementation from a go-live perspective by sixty days. Our ultimate goal is thirty days for technical implementation, recognizing that there are other non-technical factors in the program launches and coordination with customers that often take longer than that. But to the degree that we can reduce the time and effort required for launching new customers, we want to drive that to thirty days and then work on the rest of the promotion of the program and rollout of the program with our partners. So as we think about the business on a go-forward, the timelines I gave are sort of current and where we have been historically, but we intend to reduce those times significantly when we go forward and are actively pursuing a path of work to get there.
Cristopher Kennedy: Right. Thanks for taking the questions.
Operator: Your next question will come from George Frederick Sutton with Craig Hallum. Please go ahead.
George Frederick Sutton: Thank you. Pushing a little more on the embedded finance acceleration that you're seeing in the pipeline and in the broader market. I'm just curious, how are you focusing your efforts? Is it high-quality ads? Are there limitations to your ability in terms of the number of folks that you can add at one time? Just curious how you're thinking about that.
Chris Ruppel: George, thank you so much for your question, and I appreciate diving into this. So I think we've talked about in the past that our main focus has always been on helping the world's leading brands power their embedded finance solutions. And so we have been purposely targeting customers that have either large customer bases that they're able to leverage their embedded finance solution into. And so, you know, that's been or have an existing program that they're converting to us. Either way, we know the program has the possibility for significant scale. And since we're looking at those programs, we're looking at those partners. Part of the benefit of our Project 30 initiative is that as we reduce the onboarding time, it'll help our internal ability to go down market into what I say, mid-market customers that we might not take the risk on today. But will be worth pursuing when we have a more streamlined onboarding process and a reduced technical build. And there, we can invest in companies of smaller size that may grow to have scale and to be worthwhile programs where today, we wouldn't take the risk on those programs because of our limitations. And so that's where Project 30 comes into play. But today, we are specifically targeting larger marquee brands that have large installed customer bases they can leverage the opportunity into.
George Frederick Sutton: Well, speaking of large brands, obviously, Workday and the EWA space is an enormous win and Stripe on the Green Dot Network side. Can you just give us a sense of the impacts that you could ultimately see once these are both rolled out?
Chris Ruppel: So within Workday, we have achieved integration for our EWA platform with them, and ultimately, it will come down to our ability to close partners in that space. But Workday is a great platform and sort of an indication of the integrations that we're doing with similar systems to allow us to leverage into a greater number of employers across the country to sell either in partnership with those partners or directly into employers that are on various platforms. So we've been working over a multi-year period to create integrations to cover the majority of the market, and we believe we're reaching maturity in that. And Workday is a great example of that, which we're very excited about that partnership and the possibility to service Workday customers and their employees with our EarnWage Access solution. So I think there's potential scale, and it'll take time for us to work through from a sales and marketing perspective. But the technical integration is done, and we can support employers that are engaged using the Workday platform today. I'm very, very excited about that possibility and continue to grow our customer base into the Workday platform. As it relates to Stripe, which is on the money movement space, particularly for business cash depositing into the Stripe ecosystem, we're working with Stripe on their marketing promotion of the service inside of their ecosystem. And we're very excited about that partnership and having success in this first phase, but I think it'll take some time for us to develop and understand the customer need within their platform as they continue to look for and promote into the platform for the use of the cash depositing. But what we see in the rest of our business, the need for cash, the use of cash in the overall economy is still very, very high, so we're bullish on the opportunity. And, of course, the scale that Stripe has in the market would lend to even with modest adoption inside of their platform would be a significant piece of business for us.
George Frederick Sutton: Great. Thank you, guys.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Mr. William I. Jacobs for any closing remarks.
William I. Jacobs: Well, I'd like to thank everybody for joining us on our call today. We're pleased with the position that Green Dot is in, and we think the future is bright for us. I'd like to thank my associates Jess Unruh and Chris Ruppel, who did a great job today talking to investors. So thank you very much for joining us, and we look forward to talking to you again.
Operator: Bye. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.